Operator: Hello. My name is Dhawan and I will be your operator this morning. I would like to welcome everyone to the Garrett Motion First Quarter 2025 Financial Results Conference Call. This call is being recorded and a replay will be available later today. After the Company's presentation there will be a Q&A session. I would now like to hand the call over to Cyril Grandjean, Garrett's, Head of Investor Relations.
Cyril Grandjean: Thank you, Dhawan. Good day and welcome everyone. Thank you for attending the Garrett Motion first quarter 2025 financial results conference call. Before we begin, I would like to mention that today's presentation and earnings press release are available on the IR section of Garrett Motion's website at investors.garrettmotion.com. There you will also find links to our SEC filings along with other important information about the company. We note that this presentation contains forward-looking statements within the meaning of the US federal securities laws. These statements, which can be identified by words such as anticipate, intend, plan, believe, expect, may, should, or similar expressions represents management's current expectations and are subject to various risks and uncertainties that could cause our actual results to differ materially from such expectations. These risks and uncertainties include the factors identified in our annual report on Form 10-K and other filings with the Securities and Exchange Commission and includes risks related to the automotive industry, competitive landscape and macroeconomic and geopolitical conditions, among others. Please review the disclaimers on Slide 2 of our presentation as the content of our call will be governed by this language. Today's presentation also includes certain non-GAAP measures, which we use to help describe how we manage and operate our business. We reconcile each of these measures to the most directly comparable GAAP measure in the appendix of our presentation and related press release. Finally, in today's presentation and comments, we may refer to light vehicle diesel and light vehicle gasoline products by using the terms diesel and gasoline only. With us today are Olivier Rabiller, Garrett's President and Chief Executive Officer; and Sean Deason, Garrett's Senior Vice President and Chief Financial Officer. I will now hand the call over to Ollie.
Olivier Rabiller: Thanks, Cyril, and thank you everyone for joining today's call. I am pleased to report that Garrett delivers the first quarter through continued outstanding operating performance in a soft industry environment. Net sales for the first quarter were $878 million slightly down year-over-year, yet outperforming the industry in light vehicle turbo sales for both gasoline and diesel applications with gasoline growing 6% in the quarter. Thanks to team's efforts we achieved outstanding operating performance. Adjusted EBIT was $131 million and our adjusted EBIT margin was 14.9%, up 170 basis points compared to Q1 2024. This strong margin performance was primarily driven by the sustainable fixed and variable cost actions implemented in 2024, of which we are now seeing the benefits. Our adjusted free cash flow of $36 million was in line with expectations for the quarter. Our 2025 outlook remains unchanged. We are closely monitoring the situation arising from tariffs for imports into the US. So far we have not noticed any material impact on the demand forecast and have been able to implement pass-through with our customers. We are staying alert and are ready to take further measures to recover costs and adapt to slowing demand. In fact Garrett has a well-balanced sales split across geographies with only 20% of its sales in North America and a region-for-region manufacturing approach. Finally, we continue to allocate capital consistent with our stated framework. In the first quarter, we repurchased $30 million of common stock and paid a $12 million quarterly dividend. Additionally, our Board of Directors has just declared our second quarterly dividend payable on June 16, 2025. Let me now move to slide 4 to share more about Garrett's continued success across our differentiated technologies. Our industry leading and differentiated technologies were on display at the Shanghai Auto Show last week where we showcased our ability to innovate and bring new differentiated turbo and hybrid offerings to our customers across all regions and verticals. We see increasing demand for turbocharged range-extended electric vehicles and plug-in hybrids and we secured three new wins in China and North America in this area. In addition, we continue to win new on-highway commercial vehicle programs in Europe and China and launch natural gas applications for heavy trucks, demonstrating our capabilities to support alternative fuels with our turbo technologies. Our commitment to innovation has led to other notable accomplishments this quarter as we were awarded multiple new awards for our large industrial turbos by local industry leaders in Asia. We have now doubled our presence in this segment mainly due to the growth of data center infrastructure. Simultaneously we are also making great progress with our zero-emission solutions, which are gaining substantial momentum. Today I'm very proud to share that we've reached a significant milestone in the development of our E-Powertrain high speed technologies, securing our first series production award from Hyundai, a leading axle supplier to integrate Garrett's high speed E-motor and inverter technology into their axle and transmission platforms for heavy-duty commercial vehicles with production targeted for 2027. These achievements demonstrate the substantial potential of our solutions and validate our position especially in China where battery electric penetration in commercial vehicles tops the rest of the world. In addition, our high-power lightweight centrifugal e-cooling compressor has continued to receive positive testing feedback and increase customer interest setting the stage for business adoption not only for vehicles but also for industrial applications. I will now hand it over to Sean to provide more details on our financial results and outlook.
Sean Deason: Thanks Olivier and good morning, everyone. I will begin my remarks on slide 5. As Olivier highlighted we delivered strong first quarter financial performance in a challenging and volatile industry environment. Our net sales were $878 million trending upward sequentially as we saw increased demand for light vehicle applications in Europe and benefited from new gasoline launches and ramp-ups in North America. We continued to expand our adjusted EBIT margin, delivering $131 million of adjusted EBIT, which equates to a 14.9% margin in the quarter. This trend is a direct result of the proactive and structural cost actions we implemented in 2024, which will continue to benefit us throughout the year. As we mentioned last quarter, we have transitioned to adjusted EBIT as a measure of profitability. We believe adjusted EBIT more accurately reflects the profitability of Garrett, makes it more comparable to peers and highlights our capital light model, which is highly cash-generative. For reference we have included a reconciliation to adjusted EBIT in the appendix for your convenience. Finally, adjusted free cash flow while sequentially lower was in line with expectations and reflects timing of certain working capital elements, which we expect to recover in the coming quarters. Moving now to slide 6, we show our Q1 net sales bridge by product category as compared with the same period last year. In the quarter, net sales decreased slightly by $37 million versus the prior year, down 4% on a reported basis and 2% on a constant currency basis. We experienced strong year-over-year growth in gasoline applications, benefiting from new launches and ramp-ups primarily in North America and share of demand gains. This growth was offset by diesel softness driven by lower industry production mainly in Europe. We also saw demand for commercial vehicles and aftermarket applications lower. Additionally foreign exchange resulted in a $21 million or 2% sales decline primarily driven by weaker year over year. Turning now to slide 7, as I mentioned earlier, we now utilize adjusted EBIT as our measure of profitability and we believe it provides additional insight into our financial performance and profitability, highlighting the strength of our asset-light and cash-generative operating model. Within the quarter, we delivered $131 million of adjusted EBIT, representing a $10 million increase over the same period last year and a strong margin of 14.9% up 170 basis points. We achieved this strong performance through $31 million of operating improvement year-over-year benefiting from price and structural actions taken in 2024 and more than offsetting the impact of lower sales and foreign exchange. In the quarter, we also successfully passed through $4 million or 100% of the impact of newly implemented tariffs, which we expect to continue to do throughout the remainder of the year. Turning now to slide 8, I'll walk you through the adjusted EBIT to adjusted free cash flow bridge for the quarter. We delivered positive adjusted free cash flow of $36 million in line with our full-year expectations. The working capital usage in the quarter is aligned with our typical seasonality and was primarily driven by the timing of sales and related collections, which we expect to recover in the coming quarters. Cash taxes, cash interest were in line with expectations and capital expenditures were within our financial frame. Turning now to slide 9, we ended the quarter with a liquidity position of $760 million comprised of $630 million of un-drawn revolving credit facility capacity and $130 million of unrestricted cash. In the quarter, we refinanced our term loan, achieving better pricing and extending its maturity until 2032. At the same time, we increased our revolving credit facility capacity by $30 million and extended its maturity to 2030. With no significant near-term maturities and ample liquidity, we are well positioned to navigate any potential future volatility that may arise as a result of macroeconomic or geopolitical uncertainty. In the first quarter, our positive cash generation enabled us to continue returning capital to our shareholders. Within the quarter, we repurchased $30 million of common stock under our $250 million share repurchase program and paid our first $12 million quarterly dividend. In line with our capital allocation policy, we continue to target a distribution of at least 75% of our adjusted free cash flow to shareholders over time through dividends and share repurchases. As Olivier mentioned earlier, our Board of Directors has also declared a second quarterly cash dividend payable in June 2025. And I will now transition to slide 10 to discuss our 2025 outlook. We are maintaining our 2025 outlook across all measures implying the following midpoints. Net sales of $3.4 billion, net sales growth at constant currency of negative 1%, net income of $232 million, adjusted EBIT of $457 million, net cash provided by operating activities of $402 million and adjusted free cash flow of $345 million. While our outlook and assumptions remain unchanged and although we expect to continue to pass through all implemented and future tariffs as previously mentioned by Olivier at this time, there is sufficient uncertainty around the near-term impact new and future tariffs may have on the global economy which could adversely impact the industry and subsequent demand for turbos. We will continue to monitor these risks and adjust our cost structure to adapt to any changes in customer demand. With that, I will now turn the call back to Olivier for closing remarks.
Olivier Rabiller: Thanks, Sean. Turning now to slide 11, we indeed stick to our value creation framework. Our priority remains to identify and focus on unmet customer needs where we can leverage our innovation capabilities to develop differentiated and highly efficient solutions at scale. We are strengthening our leadership position in the turbo industry while developing new zero-emission and turbo technologies and expanding into industrial applications. The recent service production award with Ende demonstrates that perfectly well. And our resilient operating framework is highly cash-generative allowing us to navigate near-term volatility while remaining focused on reducing debt and returning cash to shareholders. Reflecting on our final Slide, 12, I am proud to highlight the promising start we had this year with strong first quarter results. Overall, Garrett remains well-positioned for the long-term success of the company. Our outstanding operating performance, consistent free cash flow generation, and healthy balance sheets provide us with significant flexibility to invest and continue winning in turbo, further advance our differentiated high-speed solutions and return value to shareholders through our disciplined capital allocation strategy. As already mentioned, we achieved a significant milestone by securing our first service production award for high-speed e-motor and inductor technology. We are well-positioned to succeed in what could be a challenging year for the automotive industry, but where we see opportunities to keep on delivering strong performance. Before we close I want to thank once again the entire Garrett team for their strong performance in the first quarter. Thank you for your time and operator we are now ready for Q&A.
Operator: Certainly. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Hamed Khorsand with BWS Financial. Please go ahead.
Hamed Khorsand: Hi. So, first off I just want to talk about your comments about what you're seeing in North America with the new launches and ramps. That really didn't show up as far as percentage of sales in Q1. Is that later on this year? Or could you just talk about the dynamics there as far as the split between the sales that you reported?
Sean Deason: So, we actually -- I think that in terms of the mix, you need to be a little cautious when you look at the segment revenue in North America. But what we have seen is gasoline ramping up and you saw that on our sales bridge. And a lot of that is driven by North America plus shared demand gains as I mentioned in Europe. But there are offsets in North America in commercial vehicle particularly off-highway as well as aftermarket that were slightly down. So that is actually what the dynamic that you're seeing there.
Hamed Khorsand: Got it. And then as far as the gasoline goes how much opportunity is there as far as you look out into what you're bidding on for 2026 and 2027?
Olivier Rabiller: Maybe your question related to North America or for the world?
Hamed Khorsand: For North America and Europe?
Olivier Rabiller: We are seeing some significant opportunities especially when it comes to North America. We have seen carmakers and I think we highlighted that last quarter. We have seen carmakers reviewing their range of products pivoting to add more hybrids whether it's North American carmakers or foreign carmakers operating in North America and with solutions that are for most of them implying that they need turbochargers whether it's plug-in hybrids or something that is growing very much that's range-extended electric vehicles where the engine provides more of a generator electric generator to the powertrain. So, we are seeing a strong appeal for that either directly with the carmakers in North America the North American carmakers, I should say, or the ones that are operating in North America meaning foreign brands.
Hamed Khorsand: Got it. And then far as
Olivier Rabiller: Not all of that will obviously come in 2027. 2027 is across the corner. It's two years down the line. But we'll see that coming and increasing by the end of the decade.
Hamed Khorsand: Okay. And then switching to China is China looking like it's going to be more and more EV? And how do you feel about where you're situated as far as market share is concerned?
Olivier Rabiller: We are feeling good about our share of demand in China. Two things. First in China we are having not only a passenger vehicle business. We are having also a commercial vehicle business that is very strong especially on highway and more and more in off-highway. And I think in the earnings release we are alluding to the position we are establishing on off-highway gen-set for data centers. But on highway is a very strong business has always been a strong business in China. We are feeling very good about it. We are providing differentiated technology that our customer wants. And I was once again meeting with some of them last week and they were reinforcing that they need that technology moving forward. We are also equipping a lot of vehicles that are light commercial vehicles in China that still need and will need for a long time diesel engines. And it's a good business for us where our leadership especially with valuable geometry is recognized. Now coming back to probably the point of your question, which is passenger vehicles. We are pleased with what we are achieving in China. Not only with the traditional car makers and in traditional car makers I would put the global brands and their local partners which are the big state-owned enterprises like SAIC Shanghai, GAC, FAW and Dongseng. But we have made significant progress with what I would call the winners in China. So names like BYD, Sherry Geely and even new brands that have come like Socon and Ceres. Those companies are very innovative and they are blurring the lines between battery electric vehicle and hybrids by really pushing the development of either plug-in hybrids or range-extended electric vehicles and using extensively turbochargers. So I had really the pleasure to meet with all of these people last week and they were really reiterating to us that they need our technology moving forward. So I'm feeling quite good about that.
Hamed Khorsand: Great. And then Sean I noticed in the guidance you're keeping the Euro assumption at 105. What would the dynamics be if the Euro stayed north of 110 where it is right now?
Sean Deason : So we definitely see favorability in revenue and EBITDA as well. But with all the different moving parts in the current macro environment we felt that the prudent thing was to just keep guidance to where it is for the moment. It's been a very recent move just toward the end of March which is why you didn't really see any of that favorability come through in the first quarter. But again you would absolutely see a favorability of revenue and profit driven by FX if this environment continues.
Hamed Khorsand: And how much exposure would you have to these North American tariffs?
Sean Deason : We think and again we're going to pass them through entirely. If everything stays the way it is today which is also another if we think it's around the $60-ish million that would be passed through. Again reemphasizing that like Olivier said 20% of our sales is in North America. And some of that is to car makers in Mexico.
Olivier Rabiller: Yes. We have a significant portion of the sales that we are doing directly to customers that are in Mexico that are exporting the cars to North America. And all the cars all the engines and the rest we do direct. So the dollar value you would see it only on the piece that we send from Mexico to the U.S. But we have very limited exposure. We have very limited exposure to anything that comes from Europe because as we are saying in the script we are very much manufacturing in the region for the region.
Hamed Khorsand: Thank you, guys.
Operator: Thank you. As we have no further questions we will now conclude our conference. Thank you for attending today's presentation. You may now disconnect.